Executives:
–:
 :
Analysts: Kash Rangan – Bank of America Merrill Lynch Brent Thill – UBS Equities Jason A. Maynard – Wells Fargo Securities LLC Heather A. Bellini – Goldman Sachs & Co. Richard Sherlund – Nomura Securities Walter H. Pritchard – Citigroup Global Markets Inc. Philip A. Winslow – Credit Suisse Securities LLC Keith Weiss – Morgan Stanley & Co. LLC
Presentation:
Operator: Good day, everyone, and welcome to today’s Oracle Corporation Quarterly Conference Call. Today’s conference is being recorded. At this time, I would like to introduce Ken Bond, Vice President of Investor Relations, Oracle. Please go ahead, sir.
Ken Bond: Thank you, [Amber]. Good afternoon everyone, and welcome to Oracle’s fourth quarter and fiscal year 2013 earnings conference call. A copy of the press release and financial tables, which includes a GAAP to non-GAAP reconciliation and other supplemental financial information can be viewed and downloaded from our Investor Relations website. On the call today are Chief Executive Officer, Larry Ellison; President and CFO, Safra Catz; and President, Mark Hurd. As a reminder, today’s discussion will include forward-looking statements, including predictions, expectations, estimates or other information that might be considered forward-looking. Throughout today’s discussion, we will present some important factors relating to our business, which may potentially effect those forward-looking statements. These forward-looking statements are also subject to risks and uncertainties that may cause actual results to differ materially from statements being made today. As a result, we caution you against placing undue reliance on these forward-looking statements. And, we encourage you to review our most recent reports including our 10-K and 10-Q and any applicable amendments for a complete discussion of these factors and other risk factors that may affect our future results or the market price of our stock. And finally, we are not obligating ourselves to revise our results or publicly release any revisions to these forward-looking statements in light of new information or future events. Before taking questions, we'll begin with a few prepared remarks. And with that, I'd like to turn the call over to Safra.
Safra A. Catz: Thanks, Ken, good afternoon. I’m going to focus on our non-GAAP results for Q4 and fiscal 2013; then I’ll review the guidance for Q1 and then I’ll turn the call over to Mark and Larry for their comments. My remarks generally reflect constant dollar growth rate. This quarter, we saw record $4 billion in new software license and SaaS subscription, coming within my guidance range at 2% constant growth. In general, sales force execution improved significantly in most regions during the quarter. As with most of our peers we did see increased economic weakness in a few regions which had an effect on our final performance. Geographically results were somewhat mixed with GAAP new license growing 4% in the Americas, up 5% EMEA, but down 7% in APAC. I just highlight places like Brazil, which pulled down our growth in the Americas and the number of countries in Asia, especially Australia is being particularly affected by economic slowdown beyond our expectation. Europe’s economy remains unchanged and we’re actually pleased with our European performance. In addition, in Q4 we saw currency headwinds especially in Japan, Brazil and Australia were currencies weakened 5% to 8% against the dollars since our last earnings call and moves that were not anticipated in my Q4 guide. Software support revenues were $4.4 billion, up 8% on this recurring part of our business. Support attach and renewal rates continue at their usual high level. Hardware Systems revenue was better than expected at $849 million as our Engineered Systems had another spectacular quarter. We also saw growth in our T-Series SPARC servers, following a new product launch early in the quarter with some new M-Series now available, I think we are starting to see customers refresh their systems and we believe that we could have growth in total hardware as early as Q1. Hardware gross margins were 51%, reflecting our strategy to focus only on high value systems and the return of hardware growth should actually help increase gross margins even more overtime. Total revenue for the quarter was nearly $11 billion, up 1% from last year. Non-GAAP operating income was $5.6 billion with operating margins expanding to 51% from 50% last year. Aside from the five quarters immediately following the Sun acquisition, non-GAAP operating margins have expanded year-over-year every quarter since November 2006 and we actually continue to see ample leverage in our business model. The non-GAAP tax rate for the quarter was 23.8% and the GAAP tax rate was 21.1%. Non-GAAP earnings per share were $0.87 and would have been actually $0.01 higher, but for the negative impact of currency, up from $0.82 last year. GAAP EPS for the quarter was $0.80, up from $0.69 last year. Operating cash flow increased to $14.2 billion over the last four quarters and free cash flow grew to $13.6 billion over the last four quarters. Both are record results. We now have $32.2 billion in cash and marketable securities. Now for the full fiscal year and for the first time ever our new software sales were more than $10 billion growing 6% in constant currency together new software license and support and software support grew 7%, averaging 10% over the last five years. And our last major software acquisitions was more than five years ago. While hardware and hardware support declined 14%, I think we may have just seen the last of annual hardware revenue declines, which will have positive implications for total revenues. Even with the declines in hardware revenues, total revenues for the year grew 2% to more than $37 billion. Our non-GAAP operating margin for the full year was an all time high of 47%. Earnings per share was $2.68 growing 11% in FY 2013. Since we first shared our goal of growing non-GAAP EPS 20% overtime back in 2005. We've averaged nearly 19% growth for both EPS and free cash flow over the last eight years even though the world went through massive economic crisis. In Q4, we purchased nearly 85 million shares for a total of $2.8 billion and for the full year repurchased nearly 350 million shares for total of $11 billion. So, as you saw in our release today we announced we are restarting our quarterly dividend earlier than previously planned and with a 100% increase to our quarterly dividend or $0.12 per share. This will commence with a record date of July 12 and the payout date of August 2. The Board also authorized the repurchase of an additional $12 billion of common stock under our existing share repurchase program in future quarters. Between dividend and buyback, this year we returned more than $12.4 billion or more than 90% of our free cash flow to our shareholders. Today we also announced that we’ve applied to list our common stock on the New York Stock Exchange under our current symbol ORCL and subject to approval by the NYSE we expect our common stock will begin trading on the NYSE on July 15. Now until the transfer is completed Oracle will continue to trade on the NASDAQ under our current symbol. Now moving to guidance; I will say in advance that I continue to follow the news of the economy and the results of nearly every one of our competitors, so I have tried to keep that in mind in my guidance. And since I don't know what the exchange rates will be at quarter end, I’m going to give guidance in constant currency. Now at current rate currency will reduce growth rate by about 1% and general growth rates, license and revenue and EPS by about $0.02 that’s what it looks like right now. So with guidance, new software license and cloud subscription revenue is expected to range from 0 to 8% in constant currency in non-GAAP and 1% to 9% in GAAP. Hardware product revenue growth is expected to range from a negative 6% to positive 2% in constant currency and as a result total revenue growth on a GAAP and non-GAAP basis is expected to range from 3% to 6% in constant dollars. Non-GAAP EPS is expected to be somewhere between $0.56 and $0.59 in constant dollar. GAAP EPS is expected to be somewhere between $0.42 and $0.45 in constant dollar. This guidance assumes GAAP and non-GAAP tax rate of 24% of course and it may end up being different. With that, I’ll turn it over to Mark for his comments.
Mark Hurd: Thanks, Safra. Just today I thought I’ll be brief and talk a little bit about our Cloud business and give you some facts. Our Cloud now runs well over $1 billion run rate and it is bigger than both Workday and SAP combined in the cloud. We are clearly the second largest provider in the SaaS market with more than 130 Fusion customers that are live in production today. In Q4 alone we added 500 new SaaS customers, 300 of those in HCM alone. Not only are we bigger than Workday and HCM but we are growing faster than Workday. Recently we claimed that is 50 new customers in HCM and ERP. We added more than 50 in HCM alone and with more than 80 new Fusion SaaS customers we have great SaaS HCM wins at British Telecom, BMC Software, Siemens, Credit Agricole, Yahoo! and Intuit. In customer experience, we added 200 customers, with great cloud wins at eBay, KLM Royal Dutch Airlines, Trimble Navigation, Dow Corning, Sprint Nextel, Capital One, US Foods, Acer, Tesco and Paccar. I just read you that list just you get an idea of the quality and the brand names that are committing to our technology. So our success in the cloud is significant and undeniable. Let me share a few facts about how we run our cloud. The cloud runs on our engineered systems. We have nearly 13,000 VM, 70 petabytes of storage in seven countries, more than 7.6 million users and 16.5 million or billion transactions per day. Let me switch to our pipeline. It’s healthy. Our sales organization is already geared to outperform our competitors. I want to say this again, our attrition rates are down. They have declined and by June 7, that’s roughly two weeks ago, we had 90% of our territory assignments and code is done with sales plans accepted, that is an absolute record for Oracle. Now next week I want you to stay tuned, as we’re going to make a series of announcements regarding our success in the cloud and the partnerships we’re forming to drive our cloud business forward. With that I’m going to turn it over to Larry, so that he can touch on some of our exciting developments.
Lawrence J. Ellison: Thank you, Mark. In Engineered Systems we had a very strong quarter. Revenue was up approximately 50% as we took considerable market share from our primary competitor IBM P-Series which was down 32% in their most recent quarter. All our Exa products, Exadata, Exalogic, Exalytics and the Big Data Appliance and the Oracle Database Appliance, all had their best ever quarters. In bookings, we sold over 1200 engineering systems in Q4 including more than 600 Exadata’s. Exalogic was up more than 50% sequentially and we sold more than 100 units of Exalytics in the quarter. For the year, we sold over 3000 Engineered Systems more than all the previous years combined. Tesco, Fidelity, Siemens, McGraw-Hill, Chicago Mercantile Exchange, Saudi Telecom, to name just a few of the companies that bought Engineered Systems this past quarter. Some of the SAPs largest customer’s, giant German industrial companies bought Exadata, not HANA to run their SAP applications. We virtually never see HANA in the market and SAP’s HANA numbers simply don’t add up. A recent analyst report pointed out that if you believe the HANA sales growth numbers and SAP’s most recent quarterly report, then SAP’s application business must have declined 10%. You decide, either HANA is doing and SAP’s application business is in steep decline or HANA is not doing so well, but SAP’s application business is okay. You can’t have it both ways. We don’t think SAP’s HANA can ever successfully compete with Oracle’s Exadata and our other engineered systems in the high performance database market. Engineered systems are now over one-third of Oracle’s hardware revenue. Our SPARC server line is now completely refreshed. Our T5 and M5 servers feature the fastest microprocessor in the world, faster than Intel and faster than IBM P7+ on numerous industry standard benchmarks. With the continued rapid growth of our now much larger engineered systems business, both our new high performance SPARC T5 and M5 server, we just might see overall hardware growth this Q1, and we will see overall hardware growth for the full fiscal year.
Ken Bond: Thank you, Larry. [Amber] we can now move to the Q&A portion of the call please.
Operator: Yes, thank you. (Operator Instructions) We’ll go first to Kash Rangan with Merrill Lynch.
Kash Rangan – Bank of America Merrill Lynch: Hi, thank you very much. Good to see the hardware product and the Fusion referenced pretty do well. But, on the software side, typically Oracle has had very strong May quarter finishes, we’ve always called it the magic of May quarter. I’m wondering if you could give us a little bit more color Safra, Mark and Larry. And if you saw any slippage that was specific to more sort of the applications business, large ticket items, economically more sensitive. If these deals are put on hold and how is the linearity shaping up in June? As you exited the quarter, did you feel little bit better, but how that trends were getting better, because we’ve been caring about software companies facing difficulties in the month of March and April. I’m just curious, how thinks shaped up and how you exited the quarter? Sorry for the bunch of questions, but I really appreciate the color. Thank you.
Safra A. Catz: I don’t know which one of us should start. As I mentioned in my prepared remarks, we saw some weakness in specific regions, especially Asia-Pacific, especially parts of Latin America that were that came up right at the end on us and that was extremely disappointing for us because May is usually our very, very big and important month and it’s a big quarter and it’s sort of lased out where it did. We’ve had a pretty good start actually in the other regions, but it’s too soon to tell on and that’s why my guidance is where it is.
Lawrence J. Ellison: Good. Let me add. It was not a specific product. I mean, when we saw weakness, we saw weakness in database middleware applications in all of our software lines. So it was clearly an economic issue not a product competitive issue. The products performed kind of as we expected, it’s just that they didn’t reach the ceiling, we’ve got where we’re going to reach in the quarter.
Mark Hurd: Now, I’ll just add a little bit of color to casual. I think we actually did pretty well in Europe. We actually felt quite good considering all you read, you talk about, what you read about software companies, you read a lot about the tech sector in Europe and frankly as we talked before the Salesforce what we’ve done there has been material and its helpful for us. We banked on conversion rates being down in Europe and frankly they weren’t down as much as we thought. We executed quite well. We did fine in the U.S. and the surplus points really was for us Brazil and parts of Asia where we saw the rest of he everything, sort of behaved the way we expected over the course of the year with the exception of the quarter. There are few section of engineered systems to be good, which was better than we expected, going in which led to the hardware performance that we described. On a number of transactions basis, some of it to Larry’s point, really had to do with the transactions just getting a bit skinnier. If you looked at number of transactions, you wouldn't see that bigger delta, a lot of it just had to do with the average size per transaction which again indicates to us certainly a lot of economic issue out there.
Kash Rangan – Bank of America Merrill Lynch: Got it. Thank you. And Safra it does look like you feel little bit better based on the guidance which is a lot better than we would have expected for the upcoming August licenses especially.
Safra A. Catz: Yes, well we thought things pushed off. I see them closing, but I do have to keep an eye on what my competitors are reporting and what's going on. So it’s sort of all in there together and we feel good with where we are guiding.
Kash Rangan – Bank of America Merrill Lynch: Great.
Operator: And we will go next to Brent Thill with UBS.
Brent Thill – UBS Equities: Thanks, good afternoon. Mark, you are adding tremendous sales capacity and you mentioned the unforced attrition is down. So why do you think you’re not seeing the resulting fall through in license results? I certainly the comments you made about the Asia Pacific, but it is a small percent of your overall revenue, and maybe if you could just expand on the ASP in Q3. I think you disclosed that that was down high teens as it relates to deals over $3 million. It seems like the larger deals you’re still seeing pressure. If you could just tell a little more color would be helpful.
Lawrence J. Ellison: Yeah, let me just jump in front of Mark and give you kind of our view. We’ve been adding a lot of sales people in the cloud. So a lot of our additions, in Europe and in North America is around our cloud offerings, which we’re seeing great growth. So we think as part of the transition the cloud, the bulk of the sales that are not in our attrition traditional on-premises database business or on-premises application business, the bulk of that have been in our Cloud businesses and we’ll continue to add. We’ve hired about 500 sales people and sales consultants directly out of college this year and virtually all of them will go to our Cloud businesses and about 10% will go to our Linux business, which is becoming very, very competitive with Red Hat, but it’s the new businesses that we’re in, that is absorbing most, not all, but most of our sales app.
Mark Hurd: Yeah. So I think you got Brent, everything Larry said and then add to it that where we have that because we are still even with that add in the cloud net off and our traditional license area. So although it’s not all of what we’ve added to Larry’s points. But we have seen the benefits. I’ll tell you exactly. In Europe, we have seen bigger pipelines and we’ve seen the economic pressure on the convergence rate and that growth you see in Europe is directly related to the fact that we’ve added our sales force. So make no mistake about it, the growth in our pipeline that you see in Latin America, when you see some of these issues in Brazil, this is what happens when you see an economic environment like this. You see the pipe go up, you see conversion go down. If you’re going to gain share you’re going to have to be in more deals. So we’re in more deals. Let me give you a second point. Historically when these economies turn you do not have enough time to rehire your distribution capability to take advantage of the change in the economy. If that pipe is not sitting there when markets get better you lose out on that expansion. So this is actually, it’s counterintuitive, I know, this is the right time to be in a position with a broader distribution capability. I’ll add to it. We’ve been very mindful of our expenses while we’ve done it. So when you look at our expense structure, we have taken money from other places and funded the majority of the sales force expansion. Now to Larry’s point, some of this is not going into full and full ARR, annual recurring revenue, which we’re seeing the strong growth, which will pay us dividend as you go out over the next couple of years.
Brent Thill – UBS Equities: Thank you.
Operator: And we’ll next go to Jason Maynard with Wells Fargo.
Jason A. Maynard – Wells Fargo Securities LLC: Good afternoon. I have two questions. First, Mark, can we drill down a little bit more into Asia Pacific, because if you look at the different regions on a constant currency basis, U.S. and EMEA both actually performed maybe about as expected. But it’s actually when you dive into APAC, the last two quarters that have really fell off the close after a strong start of the year. So I’d love to get a little bit more color, maybe by Australia and some of the different countries in there which you’re seeing. And then the second question for Larry is just, as you look out the next four quarters separately, the comment about the hardware business turning potentially positive in Q1. What are some of the assumptions that you guys see by product within Engineered Systems and the Smart product lines that gets you to that level of actually showing year-over-year hardware product revenue growth? Thanks
Lawrence J. Ellison: Okay, most important question, I’ll tackle the first part. I think you’re right by the way and way you described the quarter for us. We saw roughly what we expected in Europe, in fact a little bit better than what we expected and roughly what we expected in the Americas. Asia as you know, there is no real Asia for say. It’s a little bit behavior by countries. We continue to see pressure in China as you read across most of the other tech companies described we saw that. And we have the effected Safra mentioned in Australia. That is both some weakness in the Australian market which you will also see as a read through in their economy, but frankly going up against the big prior year. So we had a prior year in Australia and we have the economic issues that you saw. Those are the two markets, we did fine in Korea and fine in India overall.
Mark Hurd: On the harbor side of the question. It’s really very, very simple. We had a number of businesses and those other Sun business, the commodity x86 business, that we have exited and we’re pretty much out at. Reselling other people storage systems like Hitachi and LSI Logic, which were pretty much out at. And so those declining businesses have finished declining. We think the businesses that remain, we got two big businesses that remain, one is the SPARC server business which is now refreshed. And we think can grow, though that is not in our assumption for growth. Our only assumption for growth is that our engineer systems business which has consistently grown and grew very rapidly this quarter. We will continue to grow and that alone will drive the overall hardware business into growth. If we recovered with our new SPARC line, if that recovers and also shows just a little bit of growth. The growth in hardware will be spectacular.
Ken Bond: Next question please?
Operator: We’ll go next to Heather Bellini with Goldman Sachs.
Heather A. Bellini – Goldman Sachs & Co.: Great. Thank you very much. I was wondering if Larry, you could help us frame how the upcoming release 12B could differ from past cycles in terms of license growth rates. And I guess a follow on to that as you’re related to portable database containers. I’m just wondering if you could share with us whether or not that was part of people, maintenance contracts or whether that will be a paid option. Thank you.
Lawrence J. Ellison: Okay. The 12c is multi-tenant database, 12c stands for the cloud, it’s the first time a database converts multi-tenancy to the applications that run on the database, because you know, the cloud business started about 15 years ago with a little company called NetSuite. And then there came Dell course and many others and what they have to do was to build multi-tenancy into the application. They wanted to run a lot of customers’ data on a small number of server and do that economically. They had to build the multi-tenant capability directly into their application, which has certain problem. It has security problems that means that your standard report letters won’t work, a lot of standard tools just won’t work because of this multi-tenancy application architecture. The next kind of phase of multi-tenancy was Virtual Machine, VMs became very, very popular way of sharing a hardware, sharing server, but unfortunately that has significant overhead, much more overhead than kind of the NetSuite, Salesforce.com, way of doing an application. We think the right to convert a multi-tenancy on applications and keep security working and use the hardware very, very efficiently, is to put multi-tenancy at the database layer and that’s what we’ve done with 12c. It is a separately priced option. Next week, we will be announcing technology partnerships with the most important –the largest and most important SaaS companies and infrastructure companies in the cloud. And they will be using our technology, committing to our technology for years to come. That’s how important we are doing 12c. We think 12c will be the foundation of a modern cloud where you get multi-tenant applications with a high degree of security and a high degree of efficiency, you at least have to sacrifice one for the other. Again, I would call them a startling series of announcement with companies like Saleforce.com, NetSuite, Microsoft all that happen next week will give you the details. These partnerships in the cloud I think will reshape the cloud and reshape the perception of Oracle Technology in the cloud. 12c in other words is the most important technology we’ve ever developed for this new generation of cloud security.
Unidentified Company Representative: May be I’ll just add something a little more mundane, and that is that our database options business was really strong in the quarter. I mean, when you look at GoldenGate security compression, very strong performance for us in the quarter and suddenly when you see some of the people that have jumped on these capabilities, database enterprise manager’s strong growth in the quarter, our database options business in the quarter very, very strong.
Ken Bond: Okay, great. Thank you. Next question please.
Operator: We will go next to with Rick Sherlund with Nomura Securities.
Richard Sherlund – Nomura Securities: Thanks. Larry, just two questions for you to kind of update us on a couple of things. First, you talked that Oracle was about some cloud services, I know you’ve got private, public, hybrid cloud, you articulate, want to get updates on what’s happening there? And second in terms of in-memory capabilities just reading the trade, there has been a lot of speculation that you’re going to deliver some kind of in-memory capabilities that are compatible with the Oracle Database, if you could share any thoughts with us on that?
Lawrence J. Ellison: Okay, happy to. Oracle participates at all three layers of Cloud. We are really kind of a unique Cloud company. We’re, as Mark pointed, the second largest SaaS provider in the world. We added 500 new SaaS customers alone, 500 new logos at the SaaS layer this past quarter. We actually had more and let it be clear, not to lay it out, because we have more new Fusion CRM, I will be very clear. Take out two layers don’t count it, just look at our Fusion HCM, look at our Fusion HCM customers. We added more new Fusion core HCM customer last quarter than Workday added their AHCM plus ERP customers, that’s a Fusion, not the layout. We’re growing very fast in the Cloud and especially the HCM Cloud, especially Fusion HCM and as Mark pointed out, we are larger in SaaS than anyone, about Salesforce.com. We are larger than Workday and SAP combined.
Richard Sherlund – Nomura Securities: Okay.
Lawrence J. Ellison: But that’s not the only layer we compete in SaaS. We compete at the platform layer and if you kind of look at Oracle historically, that’s where you would expect us to be stronger. These are our two brands in SaaS; the Oracle Database and Java. Those are the two most important platforms on the face of the earth with building applications. The both products are dominant. There are more than 9 million Java developers. On our platform business, our cloud platform business, we have over 5,000 customers in our cloud. Mark mentioned our cloud is over 6,000 servers, 12,000 VMs, almost 70 terabytes of storage in 11 locations around the world or almost 8 million users per day and over 16 billion transactions per day. Mark mentioned all those numbers. But again we have over 34, we announced our platform service last April and now we have now over 3,500 or over 3,400 customers in the Oracle Database Cloud and another 1,700 in the Java Cloud and that’s just the beginning. We think our PaaS business is one of our huge, huge competitive advantages where you tend to think that the big cloud players are either in SaaS, like Salesforce.com or in infrastructure like Amazon. You really don’t think of a real strong PaaS player, well, that’s where we think we have a huge advantage and we think that approves to our big SaaS customers, because when you buy a SaaS product, it doesn’t mean you’re not going to build other little things yourselves in the cloud to go along with the SaaS products you buy. And with Salesforce.com, they are the market leader and a big respect for what Marc Benioff has achieved over there, I think he’s done a good job, but they started a long time ago, and they have a platform called Force.com, which is not based on industry standards. So when you make additions to Salesforce.com, you lie in Salesforce’s proprietary on platform. When you make additions to our SaaS applications, you use the Oracle database and Java; the industry standards. So we think customers are going to look at the entire cloud and assess the quality of the application, SaaS, the quality of the platform and we don’t think any of the big cloud players can compete with us in the platform there. And, of course, the quality of the infrastructure, which Mark mentioned earlier, which is our engineered systems, which, again, we think gives us a big competitive advantage. So the combination of 12c for the cloud, which is going to be, which we think will be adopted by most of the big cloud player as well as our corporate customer as they build cloud inside their firewall. It’s huge and we think the advantage that another advantage that we offer is the clouds that our customers are going to run internally made up of Oracle and Java is the same cloud that we offer in our public cloud. So they can build applications and move them back and forth. They can build an application in Oracle and Java on our public cloud and move it back to their private cloud. They can take an application that runs in their private cloud and move it to the public cloud. They can do test and development in the public cloud and run it in their private cloud. Because our cloud is based on industry standards, our platform is based on industry standards. We’re the only company that’s doing that, very optimistic about our ability, it could be in the cloud. Again, I said earlier, going through this transition, where we moved a lot of our new sales guys again, not all, a lot of our new sales guys on the cloud, so we’re moving aggressively with sales not only applications, but our database and Java and our infrastructure in the cloud. We’re investing a lot in engineering, we’re investing a lot in sales because we think the opportunity is gigantic and we’re well positioned and with a key new enabling technology called Oracle 12c database.
Ken Bond: Operator next call please, question please.
Operator: We’ll go next to Walter Pritchard with Citi.
Walter H. Pritchard – Citigroup Global Markets Inc.: Hi, Safra, I’m wondering if you could we heard a lot about the Cloud here in SaaS. And, I’m wondering if you could help us understand both near-term and longer-term the impact of that on license revenue, a) how they maybe depressing, what we’re seeing on that it?
Safra A. Catz: Well, at this point, the reality is that most of our customers are application customers that are taking some Cloud offerings are doing it as a complementary offering, and to the extent to what they’ve already got onsite. So, it’s not necessarily now if all of our application customers overnight all gosh, I don’t know 10,000 of them, overnight switched to SaaS, then that might have an effect, but we have so many customers and the dynamics are such that many are adding on and some are adding on on-premise, some are adding on cloud and some of them are replacing on-premise with cloud. We’ve such a large base that net, net we have growth. So that’s the dynamic right now, in the event that everyone tomorrow switch over, well that would have a different affect, but that’s not likely to happen.
Mark Hurd: Let me add my comment which is, we think when someone chooses an Oracle application in the Cloud versus an Oracle application on-premise. We make more money overtime. Now, the order that revenue comes in is a little bit different, because we take it ratably rather than a big chunk upfront. But, we think when someone becomes a cloud customer that is an economically more valuable customer to us overtime than when someone buys our software program. So, we think over a reasonable term we benefit tremendously from the movement to the cloud.
Lawrence J. Ellison: Yes add to it Walter there is other dynamics of player because of the way our software is architected we can sell by module. So in many ways it opens up brand new markets to us. We can go sell to an SAP customer, a module of HCM, I reckon by recruiting too much, they don’t have to ‘rip and replace’. Somebody like a Workday actually has still a lot of ‘rip and replace’ than we would. We can go in supplement many of our application users today with their core on-premise app with new modules of our SaaS Fusion application. So actually in some ways, long run we’ re going to have to go through the ARR phase where we start building up our ARR as we go that opens up new markets that we haven’t had available to us before.
Walter H. Pritchard – Citigroup Global Markets Inc.: Thank you.
Ken Bond: Next question please.
Operator: We’ll go next to Phil Winslow with Credit Suisse.
Philip A. Winslow – Credit Suisse Securities LLC: Hi thanks guys. Just got two questions actually, first back on the hardware side obviously we talk a lot about engineered systems, but wondering, if you gave us an update on the M5 and T5. I know it’s early, but just what are you hearing from customers about those two new processors and second servers. And then kind of flipping gears to the software front, Mark and two of us have talked about your customer experience management solutions from CRM to marketing, to commerce, just how is that sort of set of products doing then with some of the changes competitively out there with sales was finding that target, hybrids going to SAP, just how do you think your product line is set up there, thanks.
Mark Hurd: Phil, I’ll start with the first part of your question which was hardware, the T-Series is growing nicely and again I mentioned that's not part of our assumption for growth for hardware the entire year, that's heavily weighted to engineered systems, Exadata, SPARC SuperCluster, et cetera. But T is growing nicely and there is huge interest in our M-series machine. The interesting thing about the M5, post the T5, the M5 has 32 terabytes of DRAM. It is designed to be an in-memory machine. We will now, at the end of the year that, Oracle 12 1C. 12 1C is an in-memory database and it is designed to work exceedingly well with our M-Series machines again, which have more memory by the way than any other computer on the planet earth. It’s an SMP machine with 32 sockets and 32 terabytes of DRAM and we have designed that machine in concert with the next version of our database, which comes out at the end of the year, which is a vertical columnar compressed high speed in-memory vertical database and we think one of the reasons I was very confident that SAP HANA could never compete with Oracle over the long-term is because of 12 1C. And again we combine that software technology with our latest M-Series large scale in-memory Machine and I think, by the way that machine is not very expensive.
Philip A. Winslow – Credit Suisse Securities LLC: Yeah. And your T5 has taken off faster than T4?
Lawrence J. Ellison: T4, we talked about the growth we’ve seen in T4 where we’ve seen the reduction in Million, which is fundamentally what’s happened to the SPARC line. The T5, so that’s early days still. So we are going to have see how it’ll unfold, but I think very encouraging from the numbers we saw both in the quarter in orders and in the pipeline and there is a large installed base of SPARC that’s out there for us to go, sell into particular on the high end. To your question, I think your question was on ATG and Endeca software, which is basically the foundation of our Commerce Server and what we’ll call our customer experience very strong numbers. We just don’t lose deals. So at the end of the day when you get into that space and you’ve seen it particularly too in the retail industry, many of the big retailers that are focusing on how to connect to their customer, how to engage to the customer and how they cross-sell and up-sell to that customer, that’s at the core fabric of what they deploy. We expect to see that same sort of behavior in the telecommunications industry, financial services industry and we love our position. And we don’t believe any effect of our competitors’ position based on SAP’s acquisition or what Salesforce has done. Remember one more time, the leader in marketing automation software is Oracle; Eloqua is the leader. So it is not anybody else. And we’ve got a head start and we did very well, I didn’t mention it in my comments. Eloqua did very well in the quarter in terms of its ARR. So we like our aggregate hand, we like our position with RightNow on the service side, we like our position on the commerce side with ATG, we like our position on the marketing side with Eloqua. So we feel good about where we sit.
Lawrence J. Ellison: Yeah, let me just kind of summarize what Mark said, where you think the Salesforce.com is the company that has a very strong foothold in companies that sell B2B. We think we have an equally strong foothold in companies that sell B2C. So while we think we’re going to be aggressively compete with Salesforce where we think we have huge competitive advantage, where our number one competitor turns out to be IBM in that space, we just don’t lose deals to IBM in eCommerce.
Unidentified Company Representative: Next question please?
Operator: We’ll take our final question from Keith Weiss with Morgan Stanley.
Keith Weiss – Morgan Stanley & Co. LLC: Excellent. Thank you guys for fitting me in. Maybe a last one for Safra. In terms of the guidance into Q1, can you give us a little bit of color in terms of sort of the conservatism you used in setting that guide, maybe talk a little of that sort of close rate assumptions and how you’re thinking about, how you thought about that guide?
Safra A. Catz: Yeah, well, as I said, first of all, I get, as you know, I get a roll up from the field. And I look at the different close rates that we’ve had historically and the numbers that we’re using right now assume a slightly lower close rate than we have historically and takes into account sort of the difference we’ve been experiencing especially this quarter and in Q3. I have to know what’s going on with our competitors and since even deals that didn’t close this quarter, they were not lost to competitors, they were either pushed off or what also showed up in close rates or they became smaller by certain percentage, and so that’s really what we’ve applied. So, I’m not going to quantify it for you, but I’ve assumed a few points lower than would be typical for a Q1 especially since number of the Q4 deals especially have closed already. So I just had to pretty much take into account what we’ve been seeing for the past couple of quarters and apply that to the pipeline.
Keith Weiss – Morgan Stanley & Co. LLC: Excellent, very helpful.
Safra A. Catz: Okay.
Operator: That does conclude our question-and-answer session. I would now like to turn the conference back over to Ken Bond for any additional or closing remarks.
Ken Bond: Thank you operator. That does conclude our call. If you have any questions, please feel free to call the investor relations department. Thank you for joining the call. Turn it back the operator for closing that. Operator: Thank you. That does conclude our conference. You may now disconnect.